Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Colabor's First Quarter 2019 Financial Results Conference Call. At this all participants are in a listen only mode. Following the presentation, we will conduct the question-and-answer session open to analyst only. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward looking and subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded today, May 2, 2019. I will now turn the conference over Lionel Ettedgui, President and CEO. Please go ahead, sir.
Lionel Ettedgui: Good morning, everyone, and welcome to Colabor Group's 2019 First Quarter Results Conference Call. This is Lionel Ettedgui, President and Chief Executive Officer. Earlier this morning we issued our earnings press release. It can be found along with our financial statements and MDA on our website and on SEDAR. Please note that the presentation is also available on our website at www.colabor.com in the Investors section under Events and Presentations. Our first quarter consolidated revenues were down 4.4%, resulting mainly from the loss of volume in Ontario coming from the historical loss of the supplier agreement for Montana's BBQ and Bar effective April 1st of last year. This was mitigated by continuous growth of our distribution activities in Quebec. Despite the decrease of sales year-over-year, our gross margin in dollars of sale improved by 2.5%. This come from improvement in the mix of clients and products sold. Our Q1 EBITDA grew by $1.5 million to reach $0.3 million. This comes from the cost rationalization plan, optimization of operation and from the increase in gross margins. Colabor ended the first quarter of 2019 with a net loss of $2.8 million, an improvement from the net loss of $4.5 million in the equivalent quarter of 2018. Compared with the equivalent quarter of last year, cash flow from operating activities remained stable, and we reduced our total debt by $5.5 million to $109.4 million. Our total debt to trailing adjusted EBITDA ratio now stands at 5.5x, which is down sequentially from the fourth quarter of 2018 when the ratio stood at 5.8x. By removing the debentures, this ratio stands 3x versus 3.1x at the end of 2018. 2018 was a year of transition, and 2019 will be a year of transformation. We implemented several initiatives to reverse the trend of the previous years. We remain focused on 3 pillars. These are to expand our broadline activities, integrate and optimize our business units and reduce our level of debt. Our team is motivated and dedicated to pursue the direction and is working actively to create value for our shareholders. We are focusing more on our core business, mainly important organizational changes, and are managing our bottom line and cash flow very closely. Also, we're happy to welcome Pierre Gagné, who will join us on May 27 as our new CFO. This conclude my review of financial results. Operator, I would now like to open the call for questions.
Operator: [Operator Instructions] You first question comes from the line of Derek Lessard from TD Securities. Please go ahead.
Derek Lessard: Lionel, I was just wondering if you can maybe talk to the gross, what was behind that your gross margin improvement in the quarter. I mean, you pointed to favorable customer and product mix, just wondering if you could maybe talk -- give me a little bit more details on that?
Lionel Ettedgui: Yes. As I told you during the previous quarter, we mainly shared this where about optimization of our operation, which means more discipline the way we operate and also more discipline on the go-to-market. So I think that we -- we are very focused about delivering a high level of service to our customers. But in the meantime, we were efficient to make sure that we have the relevant density on our trucks. We're expecting the right numbers of drop per customers. So all that kind of discipline allowed us to be more effective regarding operations.
Derek Lessard: So where do you think -- like, if you're looking at your time line and -- where do you think you are? Are you still in the early, I guess, phase of the transformation? And, I guess, when do you expect that you would -- you're going to get to a level that's acceptable to yourself?
Lionel Ettedgui: Okay. Well, to be honest, let's say that for me 2018 was -- the main objective was to get back to stability, okay, to stabilize things to -- because we were facing some issues, so stabilization was the first -- is the first step. Then I need to have some bases to bring back some growth. So at the moment, it's just the first quarter of 2019. So to be completely transparent, I'm not happy with results, okay, just as beginning. But let's say that it's positive for the first quarter, and I'm expected to get more improvement to bring back Colabor on track of success.
Derek Lessard: Okay. The -- so you talked about the stabilization of the business in 2018. Do you think you achieved that?
Lionel Ettedgui: Yes. It has been done in both Ontario and Quebec.
Derek Lessard: Okay. And maybe one final question for me, and that's on -- I was just wondering about -- I mean, you just announced the new CFO. So I was wondering if you had -- if you're able to provide what his background is and maybe what he brings to the -- what you think he brings to the table?
Lionel Ettedgui: Okay. So the name of the CFO is Pierre Gagné. He has an extensive experience in public company, in M&A. Let's say that he -- I had an amazing sit with the individual regarding the fact that he's very close to operations, which is fit with the type of leadership we want to have at Colabor now. I think that it's -- his experience more than 30 years in companies just like FLS Transport, GDI or Cogeco is going to be a huge added value for us regarding optimization of financing, any type of M&A activities. And more than that, if you want to do take the right decision regarding operations, you need to get the right information.
Derek Lessard: Yes. So he's coming from an operational background?
Lionel Ettedgui: Exactly.
Operator: There are no further questions at this time, Mr. Ettedgui, I turn the call back over to you for closing remark.
Lionel Ettedgui: Yes. Thank you, operator. And thanks, Derek, for your questions. It has been a little over 1 year since I joined Colabor. After a year of transition, we are now starting to transform our business. I would like to reiterate that our team is dedicated to improve shareholder value by focusing on our 3 pillars: Broadline Distribution, sales and operational activities; integration and optimization of our business units; reduce our debt. This conclude our call for the first quarter of 2019. Thank you for joining us, and I look forward to meeting some of you at our annual general meeting of shareholders, which we are holding shortly after this call at our Boucherville distribution center and head office. And for those who cannot attend, I look forward to discussing our progress at our next conference call to discuss our 2019 second quarter results in July. Have a nice day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.